Operator: Welcome to Medicure’s Q2 Financial Statement Earnings Conference Call for the quarter ended June 30, 2022. My name is Debra and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Before we proceed, I would like to remind everyone that this presentation contains forward looking statements relating to future results, events and expectations, which are made pursuant to the Safe Harbor Provisions of the U.S. Securities Litigation Reform Act of 1995. Forward looking statements involve known and unknown risks and uncertainties, which could cause the company's actual results to differ materially from those in the forward-looking statements. Such risks and uncertainties include among others, those described in the company's most recent annual information form and Form 20-F. Later, we will conduct a question-and-answer session. Please note that this conference call is being recorded and today's date is August 25, 2022. I would now like to turn the conference call over to Dr. Albert Friesen, Chief Executive Officer of Medicure Inc. Please go ahead Dr. Friesen.
Albert Friesen: Thank you Debra. Good morning to all on the call. We appreciate your interest and participation in today’s call. Joining me today on this Q2 financial statement’s call is Dr. Neil Owens, President and Chief Operating Officer and Haaris Uddin, Medicure’s Chief Financial Officer. We’re pleased to share that the net for the quarter was about the same as the previous quarter with continued increase in ZYPITAMAG sales. AGGRASTAT remain steady with a small decline and Marley Drug sales other than the ZYPITAMAG. Earnings dip from the previous quarter mainly due to a substantial increase in research and development spending, which totaled over a million, which was much more than the previous quarter and anticipated in the next quarter. Absent the unusual high R&D spend, we would have seen we would have seen a further increase in earnings this quarter. The acquisition of Marley Drug Inc. an innovative online pharmacy channel helped drive the sales of ZYPITAMAG as did the general sales and marketing efforts on the Medicure team. With the acquisition of Marley, we now have four main focuses continued sales and profits of AGGRASTAT number two ZYPITAMAG revenue and profit developing Marley Drug online presence, and the fourth is MC-1 development of PNPO deficiency. One of the reasons we acquired Marley a pharmacy uniquely positioned to dispense medications to Americans in all 50 states and other territories through mail was to expand our sales reach of ZYPITAMAG. This acquisition also gives us the opportunity to provide all FDA approved medications at affordable prices. We believe the best way to do this is through a direct-to-consumer approach via our e-commerce platform, coupled with our existing sales and marketing infrastructure. The goal of the platform is to bypass the traditional framework run by health insurers and pharmacy benefit managers PBMs that has made access to affordable medications too expensive for many Americans, including generic and branded products such as ZYPITAMAG. The platform will focus on ease of use and customer service and is differentiated by being able to shift medications to every state in the U.S. We believe that investments in the past several quarters in our programs and on-boarding of new products has and will continue to provide growth and revenue, profits for the coming quarters and years that takes time and persistence. Medicure is a good cardiovascular product portfolio, a track record of growing sales, and a great team with energy, talent and experience to build a strong and growing company. I'd now like to turn over to our CFO, Haaris Uddin to review and provide some of the color on the financial results of Q2 2022. Haaris?
Haaris Uddin: Thank you, Dr. Friesen. A couple of quick items to note before I start, all dollar figures are in Canadian dollars unless otherwise noted by each presenter. And as a reminder, you will be able to obtain a complete copy of our financial statements for the quarter ended June 30 2022 by the end of the day today, along with the previous financial statements on the investor page of our website. Alternatively, a copy of all financial statements and management's discussion analysis can be obtained immediately from SEDAR.com. I will now provide some key highlights of our financial performance for the quarter ended June 30, 2022. Total revenues for the three month period ended June 30 2022 were CAD5.8 million compared to CAD5.1 million for the quarter ended June 30 2021. Net revenues from AGGRASTAT for the period ended June 30 2022 totaled CAD2.9 million, a slight increase from the prior year, where net revenue from AGGRASTAT was CAD2.8 million during the same period. The increase in AGGRASTAT revenue during the current year is the result of a higher volume of units sold. The company earned net revenues from ZYPITAMAG in Q2 of 2022 of CAD1.1 million, which is a significant increase in the net revenues earned during the same period in the prior year of CAD403,000. The Company continues to focus on ZYPITAMAG and expects revenues to grow to continue to grow through the remainder of 2022 and beyond. The company earned net revenues from Marley Drug in Q2 of 2022 of CAD1.8 million, which is a slight decrease in net revenues earned from Marley Drug through to 2021, up CAD1.9 million. The decrease in net revenue earned through Marley Drug is a result of increased competition for filling generic medications. During the cost of goods sold, AGGRASTAT cost of goods sold for the three month period ended June 30 2022, total of CAD1.2 million. Cost of goods sold for AGGRASTAT consisted of finished product sold that was delivered to customers. ZYPITAMAG cost of goods sold for the three month period ended June 30 2022 totaled CAD325,000, and includes CAD181,000, relating to products sold to customers CAD143,000 from amortization of the ZYPITAMAG and tangible assets and CAD43,000 really relating to royalties on the sale of ZYPITAMAG resulting from the acquisition of the product in September of 2019. Marley Drug cost of goods sold was CAD456,000, during the three month period ended June 30 2022 and pertained to the cost of products sold by Marley Drug in-store and mail order pharmaceutical business. Selling expenses totaled CAD1.7 million for the three month period ended June 30 2022 in comparison to CAD2.5 million for the three month period ended June 30 2021. Selling expenses decreased in the current period as a result of the company implementing cost saving measures of Marley Drug in addition to the company reclassifying certain expenses as general and administrative expenses based on their nature. General and administrative expenses totaled CAD1.6 million for the quarter ended June 30 2022 in comparison to CAD571,000 during the period ended June 30 2021. The increase in general and administration expenses is primarily related to professional fees incurred during the current period as the company continues to improve its e-commerce platform, which was launched during the current year. This is partially offset by lower legal costs and a reclassification of certain expenses from selling to general and administrative expenses based on a review of their nature. Research and Development expenses for the three months period ended June 30 2020 totaled CAD1.3 million compared to CAD705,000 during the three month period ended June 30 2021. The increase during the current period is primarily due to the timing of research and development expenditures linked to each development project. The Company recorded finance expense of CAD38,000 during the three month period ended June 30 2022. The finance expense recorded during the current period consisted primarily of accretion on the ZYPITAMAG acquisition table, banks charges incurred and finance expense on the company's lease obligations, partially offset by interest income earned during the current period. The Company recorded a foreign exchange gain during the three months ended June 30 2022 of CAD98,000 compared to a foreign exchange loss of CAD172,000 during the three month periods ended June 30 2021. The change relates to changes in the U.S. dollar exchange rate during the respective periods which led to a favorable foreign exchange gain during the current period. Adjusted EBITDA for the three month period ended June 30 2020 was negative CAD210,000 compared to adjusted EBITDA of CAD158,000 during the three month period ended June 30 2021. A decrease in adjusted EBITDA for the three months ended June 30 2022 is the result of higher research and development costs, and general administrative costs related to the improvements in the Marley Drug e-commerce platform partially offset by decreased selling expenses and higher revenues when compared to the same period in 2021. As of June 30 2022, the company had cash totaling CAD4.8 million an increase from the CAD3.7 million of cash held as of December 31 2021. The company does not have any debt on its books. I want to remind you that there will be an opportunity at the end of today's call for you to ask questions regarding the financial results of the company as a whole. And with that, I would like to turn the call over to our President and Chief Operating Officer Dr. Neil Owens for some additional commentary regarding our operations.
Neil Owens: Thank you, Haaris, and good morning everyone, a few updates I can provide. First, we are pleased to report that AGGRASTAT continues to see consistent demand with a 1% increase in units sold in Q2 compared to Q1. I've noticed that we've seen a slight shift in demand towards a more profitable product format, which is one of the reasons why net revenue grew by 3% in the quarter. Knowing that we will have the first licensed generic of AGGRASTAT in November for one format, we continue to take strategic steps to protect our market share through contracting and by strengthening our brand. Regarding ZYPITAMAG, we continue to see consistent growth in prescriptions filled through Marley Drug, including a 25% increase in units dispensed in Q2 compared to Q1. The reaction from customers and prescribers continues to be very positive. It should be noted that we see new prescribers added through efforts of both our sales team and our marketing campaigns. Net revenue was impacted to some extent from product returns through the traditional distribution channels. However, net revenue grew in Q2, and sales through Marley Drug continues to demonstrate lower returns and fees to wholesalers and reduced fees to pharmacy benefit managers. The Marley Drug pharmacy business generated sales of CAD1.8 million in Q2, which is a decrease of from Q1 of CAD1.9 million. This is primarily due to increased competition in the generic market. Earlier this year, we announced the launch of an e-commerce platform to sell generic and branded medications in all 50 states. And a partnership as an exclusive mail order fulfillment [ph] pharmacy. Our goal is to provide best-in-class experience for customers and meet the demand for home delivery of medications. We continue to invest in marketing and brand awareness and are expecting slow and steady growth. We continue to evaluate branded products and products with high market share potential to add to Medicure's portfolio and those that would align well with our focus and contacts in the U.S. market, especially those that can be sold through Marley Drug. Our Phase 3 study to find the first FDA approved therapy for patients with PNPO deficiency, which is a rare paediatric disease leading to seizures and it's ultimately fatal if untreated is planned to begin in Q4 of this year. This is an exciting moment for Medicure as well as the clinicians and families waiting to see the study begin. If successful use of Medicure's Legacy product MC-1 could lead to a priority review voucher, which can be redeemed or sold and provides significant value. Due to investments in our Phase 3 clinical study and improvements in the e-commerce platform, we are reporting a negative EBITDA in Q2 of CAD210,000. However, we are pleased to report an overall growth in revenue and increase in unrestricted cash. Our team wants our investors to know that we are driven and dedicated to growing revenue, controlling our costs and making Medicure a long term success. With that, I'd like to turn the call back to Dr. Friesen for final comments.
Albert Friesen: Thank you, Dr. Owens. We're thankful for the continued strength in AGGRASTAT market share and a strong balance sheet, the growth of ZYPITAMAG and our investments in Marley Drug. We're still focused on growing the business with a pipeline of cardiovascular products that will further diversify our revenue and assets this carefully invest in to grow our future profitability. My goal and that of our board management and staff is to continue to build this business with a stable long term outlook to generate value for our shareholders. And as always, I want to express my appreciation to the outstanding team of employees we're blessed with. Thank you to our shareholders for their continuous support and interest. And now we'll turn it back to the moderator for our Q&A. Welcome your questions?
Operator: Thank you. [Operator Instructions] Your first question comes from Kurt Cara Mendez from [Indiscernible]. Please go ahead.
Unidentified Analyst: Good Morning, guys. Thanks for taking the call. Trying to understand how do you view the rest of the year as far as R&D spend and your cash balance. And then I was wondering how your cash went up with your R&D spend in the prior quarter.
Albert Friesen: Thanks, Kurt, good to have you on the call. We expect continued growth, the cash is growing because the statements also include a fairly significant amortization, including the R&D spend, and the R&D spend was a little as we mentioned, unusual in this quarter because of the expenses just came in in terms of timing, but it should be flat for the year was around CAD700,000 the previous seven or CAD800,000 previous quarter and anticipated similar for the next quarter, but it is a significant R&D investment by Medicure. But the opportunity with the voucher is very significant. And once the trial is completed, it's 10 patients relatively small trial. And it's been a challenge to get it going. But we're close to getting going now and the return for the shareholders will be quite significant.
Unidentified Analyst: Great, yes I'm aware of that, that that sounds good. So you think the cash will grow? So we're, we're training I think at about two times cash or so what you're looking at other possible acquisitions or where you want to guard that cash? What are you trying to think in terms of what to do with that?
Albert Friesen: I think the cash will we expect the cash to continue to grow in the coming quarters. And although it's great to have a good strong balance sheet, we are thinking to conserve the cash for the short term, looking at really opportunities. And as you know, in the past, we've been able to make some acquisitions with little or no cash. And that's sort of our approach -- continue to be our approach for the present until though we see significant growth in the cash.
Unidentified Analyst: Okay. And buying stock be premature at this point when it's revalued so long or what have you thought about that, even if it was at a modest level?
Albert Friesen: Well, we continue to look at that pretty much at every board meeting. And although it's tempting from time to time, we're still a little bit hesitant to get back into buying back. I'm not saying we won't, but I'm just sort of giving you the impression that we're cautiously looking at it but with the price right now and also book to value is extremely attractive, so book value to – and then the cash. So but when we were trading, when we had a large amount of cash we traded below cash and there are companies right now trading at or below cash which is -- but we want to conserve cash and then use it opportunistically in the future for acquisitions, but right now we are trying to add product with the little or no cash.
Unidentified Analyst: Great. Leaving the time for insider, going to be buying some stock, but appreciate you are working to look forward to the future. Thanks a lot.
Albert Friesen: Thanks, Kurt.
Operator: [Operator Instructions] At this time we have no further questions. You may proceed with your closing remarks.
Albert Friesen: Thank you for all that are on the call. I appreciate your interest and we very much value the shareholders and look forward to reporting in the next quarter. Thank you again. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.